Operator: Good day, everyone, and welcome to the LATAM Airlines Group Earnings Release Conference Call. Just a reminder, this conference is being recorded. LATAM Airlines Group earnings release for the period was distributed on Tuesday, March 17. If you have not received it, you can find it on our website, www.latamairlinesgroup.net in the Investor Relations section. At this time, I would like to point out that statements regarding the company's business outlook and anticipated financial and operating results constitute forward-looking comments. These expectations are highly dependent on the economy, the airline industry and international markets. Therefore, they are subject to change. Now it is my pleasure to turn the call over to Ms. Gisela Escobar, Corporate Controller, IR Officer of LATAM Airlines Group. Please begin.
Gisela Escobar: Thanks very much. Good morning, everyone, and thanks very much for joining our call. We're going to go over today our financial results for the fourth quarter of 2014 and the full year 2014. If you look at the slide presentation that's available on our website, going to the first slide, we just wanted to give some highlights of the most important events that occurred during 2014 for LATAM Airlines Group. The first couple of points refer to the restructuring that we've been doing on our balance sheet. This is something that has been ongoing for the past 2 years, and one of the main objectives here has been to reduce the exposure on the TAM balance sheet to the Brazilian real. That has allowed us to mitigate the effect in terms of the exchange rate differences in that we see in our P&L that results from the devaluation of the Brazilian currency. We've consistently reduced that. The exposure on the TAM balance sheet was $4 billion in 2012, and it's come down to approximately $600 million at -- as of the fourth quarter of last year. We've also continued to do the restructuring of our fleet plan. We have significantly restructured our fleet plan over the past couple of years. That continued during 2014. Over the last 12 months, we have reduced our fleet commitment for the period between 2016 and 2018 by $1.8 billion, basically by reordering and postponing and changing certain of our aircraft deliveries that were -- that was scheduled in order to have a fleet plan that adequately meets our growth needs. Also relevant during 2014, we have continued to receive the new technologies of wide-body aircraft. We've received 5 additional 787-8. With that, we ended 2014 with a total of 10 787-8 in our fleet, and we expect to end this year with 17 of those aircraft, including the 787-9, which we'll be taking delivery of this year. So now we start seeing really that these new technologies of aircraft become a critical mass and become more representative within our wide-body fleet, which is obviously very positive from the perspective on a continuous reduction in cost per ASK as well as from the perspective of the passenger experience. During 2014, one of the major events in Brazil was the World Cup tournament, which occurred during the months of June and July. We saw, in Brazil, a very successful execution of this event, which was, obviously, very significant because of the amount of travel that was concentrated in the 12 cities in Brazil where the World Cup was taking place. So although this had a negative effect for us in terms of the impact it had on corporate demand, there was a very successful execution of the event, and we're seeing, today, the long-term benefit that this created for the airline industry, specifically relating to airport infrastructure. And that refers to the next point. We were able to move all of the international operations of LATAM Airlines Group to the new Terminal 3 Guarulhos Airport. During the fourth quarter of last year, we completed that move. And that allows us to really consolidate São Paulo as the main hub for LATAM Airlines Group within South America and provide improved connection time for our passengers traveling through that hub. And finally, it's also important to mention that TAM officially joined oneworld during 2014, and as such, oneworld became the global alliance for the whole of LATAM Airlines Group. If you turn to the next slide, you can see the numbers for the fourth quarter and for the full year. The trend that we saw during the full year -- that was the same during the fourth quarter, is basically a reduction in terms of revenues. Overall, we saw a reduction of approximately 1% in our total ASKs last year, and in addition to that, we saw reductions in revenue per ASK that were driven by the devaluation of corporate currencies and a challenging competitive environment in the region that we'll talk about a bit later on. But all of those things resulted in a reduction in terms of operating revenues. That was 8.6% for the quarter and 6% for the full year. This -- in the quarter, this was more than offset by a reduction on the operating cost that was over 10%. And there, there were different effects, but there we saw the other side of the devaluation of local currencies, which is for the percentage of our costs that are denominated in local currencies, a devaluation is positive for our cost performance. And we also saw the decline in fuel prices last year, which, obviously, helped us on the cost side in addition to the benefit that we're seeing from a lower cost per ASK as a result of our new fleet. With that, our operating income for the fourth quarter reached 8.6%, and for the year, we were in line with the guidance that we had already provided with the operating margin of 4.1%. On the net income side, we had a net income in the quarter of $98 million; and  for the full year, a loss of $110 million. If you go to Slide 4, this just shows you graphically, more or less, the numbers that we were seeing on the previous page. But here, you can see very clearly that the strong improvement in our margins this quarter comes from cost performance. When we look at revenue per ASK, we had a decline in revenue per ASK that was driven by lower yields and not lower load factors. So load factors were up on average for our whole operation by 1.3 points, but our yield was down. And then we have the positive impact of fuel, which was significant; and then other costs, including wages and benefits; and other cost lines, which also impacted positively our operating margins. On the next slide, turning to Page 5, you can see the breakdown in terms of our -- of the decline in our total revenues per ASK. If we look at -- the main contributor to this is $0.076 revenue per ASK and the 12.5% decline there. Basically, what we saw in the international passenger business was that we had capacity relatively flat during the fourth quarter; an improvement in load factors that was driven by a 1% improved -- increase in traffic, as measured in RPK; and a decline in revenue per ASK of approximately 7% that came mainly due to lower yields. Those yields were basically driven by what we had been talking about and the same trends that we had already been seeing during the first 3 quarters of the year, which had to do with, mainly, a very challenging competitive environment in the region, with a lot -- most international players significantly adding capacity to South America on the routes where we're flying. When you look at the domestic Brazil operations, we have, overall, a revenue per ASK decline of 13.5%. This number, if we look at it in Brazilian currency, is approximately 6%, and it's higher basically as a result of the devaluation of the Brazilian currency. Here, also, we had an improvement in load factor of approximately 2 points. So capacity was up 2.7%. Traffic was up significantly more than that, and load factors were very healthy at 83%. And on the Spanish-speaking countries, which represent 17% of our total passenger capacity and which include our domestic operations in Chile, Argentina, Peru as well as in Colombia, there, we are growing capacity at approximately 5.5%; traffic, again, increasing more than that with load factors increasing by 1 percentage point. And with that, revenues per ASK were down by 6.6%. That 6% decline is mainly driven by the devaluations that we're seeing in the local currency than that we saw during the fourth quarter in the different local currencies. The Chilean peso, during the quarter, devalued by 15%. The Peruvian currency devalued by 4%. The Argentine peso devalued by 39%.  So obviously, all of those devaluations affect the domestic yields. If we go to the next slide, just to talk a little bit about cargo. In cargo, we continue to see a fairly weak market trend. There is overcapacity in the region with a very challenging competitive environment, and we see that demand, especially import demand into the region, has not really seen a recovery. So here, our focus continues to be very much on managing our capacity between bellies and freighters. We are focused on making the maximum utilization of our belly capacity and on adjusting our freighter capacity in order that it serves to support the belly operation but that -- but we're looking for opportunities to further reduce our freighter capacity given the context that we're in. The good news here is that we finalized last year the sublease of 3 767 freighters to another carrier that operates outside of the region. So 2 of these freighters already are not in our fleet as of December 2014, and we have 1 more of these freighters that will be subleased during the first quarter of 2015. So this allows us to continue to adjust our capacity to the current challenging environment in cargo. We just wanted to mention briefly our exposure to the main macro variables. Obviously, we've seen a significant amount of volatility during the first quarter and especially during the past few weeks, both on the fuel side and in terms of the currencies. When we look at our exposure to the Brazilian real, we have a larger percentage of our revenues than of our costs denominated in real. So we have, overall at LATAM, approximately 30% of our total revenues denominated in Brazilian reais. That comes mostly from the domestic operation in Brazil. And we have approximately 25 -- 24% of our total cost denominated in reais. This translates into an operating exposure of approximately $750 million per year to the real. And of that, we have hedged up to, to date, $375 million of those approximately $750 million at an average rate of approximately BRL 2.8. This, obviously, does not include the impact that a devalued real could have in terms of demand in the Brazilian market. This is just the exposure in terms of the mismatch in terms of our revenues and of our cost. When we look at fuel, our current fuel hedge position is approximately 30% of our estimated consumption for the full year, with the breakdown that you can see on the graph on the bottom right-hand corner. For the first quarter, we're hedged approximately 30% of our consumption. At the prices that we have taken these hedge, our current estimate is that we would have a negative impact of approximately 200 -- $215 million for the full year as a result of these hedge position. At current fuel prices, obviously, the benefit from the significant decline that we've seen in fuel prices over the past weeks, obviously, much more than offsets this loss. When we look at this year, we have not changed the guidance that we had already provided in January for our results for 2015. We are expecting currently to grow in terms of total passenger capacity by between 2% and 4%, with a somewhat higher growth on international routes between 4% and 5%, and a somewhat higher growth in the Spanish-speaking markets between 4% and 5% as well. In domestic Brazil operations, we are expected to remain flat in terms of capacity growth. And on the cargo side, we have a small growth in terms of capacity that is mostly coming from the increase in the belly capacity from the long-haul passenger operations. So we don't have any additional freighters. On the contrary, we are reducing our freighter capacity. With that, we expect to have a significant increase in terms of operating margins this year. Our current target is 6% to 8% operating margins for 2015. We've talked a little bit about the main focuses that we have for 2015. In terms of our strategic plan that we are -- implemented, there are 3 important critical success factors that we're focused on. The first one has to do with the network, which basically is focusing on increasing capacity on routes that have a higher yield and on really consolidating our hub strategy throughout the region. We continue, within the domestic Brazil, to be very disciplined in terms of capacity. And when we look at our international growth, our growth is very much focused on certain specific opportunity and beyond that, basically, comes only from flying the same routes with larger aircraft. So it's a very low-risk growth in the sense that we're basically putting larger aircraft on the same route and flying that same route with a lower cost per ASK. We also are looking more strategically in terms of our network to really leverage the leadership position that we have in the region and the connectivity that we have in the region, which is, by far, the best compared to all of our competitors because of the presence that we have in 7 different countries throughout the region and because of our leadership position in most of those countries. In terms of customer experience, which is another very important critical factor that we are focusing on, where we're focusing on improving our products and improving our passenger experience -- and we're going to talk a little bit more about that. And in terms of cost, we've already mentioned we have a target of $650 million run rate in terms of cost reduction to be achieved over the next 3 years. This is net of onetime cost. So we already expect to have, in the guidance that we provided, a reduction in terms of cost per ASK coming from these initiatives, which are already in place since the end of last year. And in addition to the $650 million of these efficiencies, we are also advancing with the fleet plan, and the new fleet comes with a lower cost per ASK. So the $650 million that we've mentioned is in addition to the cost per ASK reduction that we're going to see as a result of a more efficient fleet. When we look at our domestic Brazil operations and our network in Brazil, our focus for this year is on consolidating our hub in Brasilia and hub strategy in Brazil with our hub in São Paulo and the hub in Brasilia. Brasilia is an airport that, as we'd already mentioned in the past, is a new airport. TAM recently moved its operations to Pier 2 at Brasilia airport, which -- the picture on the slide shows the Brasilia airport. Brasilia is a very attractive place to build a hub because of its very good geographical location. It's much more central within Brazil. And also, it's, obviously, the third largest market in Brazil in has a higher GDP per capita relative to, basically, most other cities in South America. We have a strong competitive position in that city, and we have plans to add 11 destinations in total from Brasilia during this year. That will allow us to increase significantly the number of city pairs that we serve through Brasilia and to -- and so this is going to -- the growth in Brasilia is going to offset reductions in some of the other routes that we are having. We are also -- as we've mentioned before, we're seeing a negative impact from the decline in corporate demand. So the growth in Brasilia is consistent with the 0% or flat capacity growth that we have during the year because it's offset by declines in other parts of our network. The other important thing to mention in the domestic Brazil operations, which we've already also talked about in the past, has to do with the -- our regional strategy. We are increasing -- we're planning to serve between 4 and 6 additional regional destinations per year in Brazil. These are smaller cities, cities that have basically between 100,000 and 1 million passengers, and we are starting to operate those cities, at least in the short term, with an existing current fleet that we have, which are the A319 aircraft. When we talk a little bit about our international passenger operation, here, we're talking about -- in our long-haul and regional operations, we have basically 2 important things to mention. As we already talked about, we're growing on these routes approximately 5% in terms of ASKs. This growth is very much focused on routes that we already serve but that we are planning to expand operations on with more efficient aircraft; and also, very specifically, expanding our Caribbean operation with additional frequencies that we have added and new routes that we have started to certain -- more tourist destinations in the Caribbean. The other important part of the strategy for our international operations has to do with the product enhancement and with the fleet, which basically is more relevant this year because, as I -- because we're seeing an increasing number of aircraft with new technologies in our fleet. So we're going to end this year with 17 787s in our fleet, which are 12% more efficient to operate than the 767. And also, towards the end of the year, we're receiving our first A350, which is also more than 20% more efficient than the A330s that we currently operate. The other important thing I would mention here is that we're also not taking more deliveries of 787-8. All of the 787s that we are receiving now, going forward, are the 787-9, which, because they are larger, are 13% more efficient than the 787-8. In terms of the customer experience, we are focusing here on basically improving and transforming the passenger's customer experience on different fronts. First, we are making changes in terms of the experience on the plane. So we have been through, already for the past years, working on a single-cabin feel for both the LAM and the TAM fleet. We already have this implemented on our first 787-9 and on our A321. We are -- well, that's in terms of just the onboard experience. We are also incorporating, at TAM, with the retrofit of the 777 fleet. We're phasing out the first class and incorporating the premium business class. So that's a more similar experience between the LAN and the TAM flights, and we're changing a little bit the onboard service to make it also a more harmonized experience between the 2 airlines. And we have a new VIP lounges in many of the cities that we operate. Obviously, at Terminal 3 at Guarulhos is our largest and newest VIP lounge, and we'll be opening very shortly in Santiago a new VIP lounge as well. Our new customer experience basically focuses on a much more mobile experience, where we not only want to make the passenger experience better during the flight, but we also want to be able to have passengers to manage better their time and to manage better their own passenger experience. So we have different examples. An -- a very important part of the passenger experience is the digital strategy. We have different examples here on Slide #14, some in terms of apps, in terms of what we are doing to allow passengers to remain connected during the flight to be able -- we're the first airline in the region that allows the use of mobile devices during the flight although still in airplane mode. And we are also working on a wireless in-flight entertainment system on our narrow-body fleet. If we go to the next slide, another important point to mention is that we are -- have a very strong performance in all of -- throughout our network in terms of on-time performance. Here, we're measuring on-time performance with a 15-minute standard. In our Spanish-speaking countries, on-time performance is close to 87%. It's approximately 84% in domestic Brazil operations and 82% in international operations overall; in all cases, an improvement over what we had last year. And finally, just a brief comment in terms of our fleet plan. This is something that has not changed, but we are expecting to invest, in terms of fleet commitments this year, approximately $1.7 billion. This is partly financed with debt and partly financed with sale and leaseback. So it's not -- all of this $1.7 billion is not debt that's going on the balance sheet, but it is the total dollar amount of the aircraft that we are delivering this year. Despite that, if you look at the graph, it's -- the 23 aircraft that we are receiving are being offset by 23 aircraft that we are returning. So the total number of jets is actually staying the same but with a significant renewal because we are going to have -- we're moving from 21 A321s to 36 A321s and from 10 new technology wide-body aircraft to 18 new technology wide-body aircraft at the end of 2015. And that continues for 2016, where we expect to end the year with 50 A321s and with 30 new technology wide-body aircraft. All of this is consistent, obviously, with our cost focus because it allows us to have a lower cost per ASK operation and with our passenger experience because it allows us to provide an upgraded product for our passengers. That concludes the comments that we had prepared for today. I will -- I want to mention who is available here to take your questions. We're joined by Cláudia Sender, who is the CEO of TAM; Andrés Osorio, the CFO; Andres del Valle, who is in charge of corporate finance; and Nicolas Goldstein, who's in charge of the international passenger operations. So we'll be happy now to take any questions you may have.
Operator: [Operator Instructions] Michael Linenberg, Deutsche Bank.
Catherine O'Brien: This is actually Catherine O'Brien filling in for Mike. Just a couple of questions here. With regard to your plan to begin serving more regional airports this year, do you see more demand strength out of some of those markets versus the weakness you've seen out of the Brazilian network in 2014? Or is the decision to add regional markets more of a long-term decision to enhance the Brazilian network for the future?
Cláudia Sender: This is Cláudia speaking. I think it's a little bit of both, added to something else, which is what Gisela was mentioning before, which is our network strategy. So first of all, we see a few markets that today we don't serve that currently have strong corporate demand, whereas we see some of the market that we serve where the corporate demand is reducing. So it's very interesting for us to tap into these markets because it's new additional corporate demand that we're bringing into our system, while we're still serving well the markets where we're present. So that's the first thing. The second, as a long-term strategy, building on what Gisela said before, we do believe that we -- at LATAM Airlines Group, we have -- we want to be the best option for any passenger flying to, from or within any city in Latin America. Therefore, we need to cover the most relevant flow, and these cities are growing much faster than the trunk routes, as we call them. So it's very important for us in the long run to have a strong presence in some of these cities. Of course, we're prioritizing and looking into the higher GDP or higher corporate traffic routes, and this is where we're starting. And I think, if I may add another point, as Gisela also mentioned, with all of these routes, if we want to have an efficient -- for all of these cities, if we want to have an efficient flow coverage, we need to connect them with our hubs. So Brasilia has become very important in our strategy to make sure that these cities are not only connected point-to-point with 12 cities in the domestic territory but most of all that they have access to the entire Brazilian territory but also to our international network.
Catherine O'Brien: Okay, great. And then just a question on cost, your cost performance was impressive this quarter. And I was just wondering how much is the decline in your operating cost, excluding fuel, which you attribute to the benefit from depreciating currencies versus the cost cuts associated with your $650 million program.
Gisela Escobar: Well, if we leave aside, I think, the fuel benefits, probably, I'd say half of the rest has to do with depreciated currencies, and the rest has to do with other various, in part, initiatives that we have already launched, the lower cost of the -- the benefits of a more modern fleet, which has a lower cost per ASK, and then a series of other effects. But definitely, the devaluation in local currencies for the cost portion that's not denominated in dollars is significant.
Catherine O'Brien: Okay, great. If I could sneak one quick one more in, have you noticed any changes in demand environment for the worse or the better in any countries you serve in South America from the December quarter into the March quarter?
Gisela Escobar: Well, what we've seen -- I'll let Cláudia talk a little bit about Brazil, but when we talk about the other parts of the operation, I think what we're seeing in general is that demand has been healthy. I mean, we're seeing that at least in a large part of our operation that the devalued currencies, in part, have meant that airlines are not really willing to pass through, in terms of prices, a lot of the declines of the fuel price because on the other hand, they are seeing a more expensive cost structure as a result of the devalued local currency. So that has meant that yields have remained more or less stable in local currencies, and that -- even with that, demand has remained healthy. So if you look at our traffic figures for January and February, this is more or less the trends that you're seeing. Overall, for January and February, our traffic is up by 4.6% overall, which is almost 5% in our domestic Spanish-speaking countries and more than 5% on international operations with load factor increases throughout the network. Cláudia, I don't know if you want to talk about Brazil.
Cláudia Sender: I just have an additional comment for Brazil. We have seen the same trend as the fourth quarter last year, which is a very depressed corporate demand due to the low GDP growth, and I would say this is of the uncertainty regarding our economy and the exchange rate. So we don't see a major change in the trends that we've seen in Q4 last year.
Operator: Your next question comes from the line of Duane Pfennigwerth, Evercore ISI.
Duane Pfennigwerth: I wondered if you could help us simplify the margin expansion story for 2015. Are you seeing margin expansion in all regions offsetting margin declines in Brazil? Or are margins actually expanding in Brazil despite all of the noise and volatility and, frankly, overemphasis on that market for you?
Gisela Escobar: Yes, Duane, I think it's important to mention that we are not expecting, during 2015 at least in this guidance number, an improvement in revenue per ASK overall. So first of all, our margin expansion is driven by mostly reductions in terms of cost. An important part of that has to do with fuel, of course, and then also an important -- another very important part of that has to do with the fleet efficiency initiative, the other efficiency initiative that we have identified, and the devalued local currencies which have a positive effect on cost. So I think in all of our operations, we will see margin expansion coming from a more efficient cost structure. And then we're going to see, in terms of revenue per ASK, probably different impacts in different parts of the network, but overall, I think the trends that we saw or that we are seeing during the fourth quarter and we're seeing during the first quarter is still one of revenue per ASK decline.
Duane Pfennigwerth: Understood, but I guess the question is, again, despite all the noise and the volatility and the emphasis by everybody on The Street on Brazil only for your company, are you actually seeing margins up in Brazil?
Cláudia Sender: Duane, sorry, we don't disclose margin by business. So it's hard to comment on that. I'm sorry.
Duane Pfennigwerth: Okay, no problem. Can you quantify maybe the fuel savings that you expect in 2015, maybe a $900 million number? Is that net of your hedges? And how much of that $900 million do you think you get to keep? And maybe you could sort of give some regional color on that. Maybe you're holding it more effectively in markets like Peru and Chile than you are in Brazil.
Gisela Escobar: Yes. The total savings -- we consume approximately 30 million barrels of fuel per year. So if we look at current fuel prices at $65 jet fuel, that's basically, versus last year, a saving of $48 per barrel, which means more than $1 billion in terms of savings. So we're talking about very significant savings if we just adjust the price of fuel. In the different markets, there are different lags in terms of how quickly we are able to see that fuel price reduction reflected for us. So there's a little bit of a delay in all of the markets. It's longer in some markets than in others, but overall, we see that decline pass through to the price that LATAM pays to consume that fuel. The hedge estimate that we have, which is what we've shown on the other slide is that we would expect a loss in our current hedge position of approximately $215 million. So with that $215 million, we're still expecting over $1 billion in terms of fuel savings for the full year.
Duane Pfennigwerth: Okay, that's great. So over $1 billion in savings, and if you had to guess, how much of that do you actually keep?
Gisela Escobar: Well, over time, I think it varies, let's say, in the first quarter towards the end of the year. So far, as I mentioned, I think in the countries -- in the domestic operations outside of Brazil, in general, we continue to see -- we haven't seen a downward pressure significantly in yields as a result of the lower fuel prices; yes, as a result of the devaluation of the currencies, which impact your yield in local currency. But overall, we are still seeing, during the first quarter, that we are seeing the benefit of that lower fuel price. And I'm going to get -- let Nicolas talk a little bit about the trends we're seeing in the international passenger business.
Nicolas Goldstein: Yes, what we can capture in -- is very different, depending on the business. On the long-haul business, with the anticipation that we have, we observe a huge capture of the benefit. And for the first quarter also in the regional business, as long as you move to more domestic business with a shorter anticipation, the benefits are lower. Up to now, we observe, for the first quarter, very good results.
Operator: Your next question comes from Bernardo Velez, GBM.
Bernardo Velez Diego Fernandez: I was wondering if you could provide us with a little bit more color on the taxes in Brazil. And especially, these are -- there have been rumors that President Rousseff is thinking about cutting back the Brasil Maior program.
Gisela Escobar: Yes, sorry. That's correct. I mean, we -- nothing has been defined yet. So what we are seeing is that there'd be a change in terms of tax that's currently over -- as a percentage of revenues that would -- that it would be a percentage of payroll, but nothing has been defined yet. So we can't really say anything until we have a definite ruling on that initiative.
Bernardo Velez Diego Fernandez: Okay, perfect. And in another topic, could you comment on -- or could you give us an update on the airline unification process that you guys are going through?
Gisela Escobar: Are you referring about the -- between LAN and TAM, about the merger?
Bernardo Velez Diego Fernandez: Exactly, yes.
Gisela Escobar: Well, I mean, I think that we really completed the -- I mean, in terms of the integration of the operations, I think we -- as you know, we continue to operate with 2 separate brands. But in terms of all of the corporate functions, we've really completed, and I'd say even before 2014, we have completed most of the integration. And we had captured or at least implemented all of the initiatives that we had identified in terms of really being able to see the synergies on the cost side as well as on the revenue side from joining the networks of the 2 airlines. I think probably a relevant thing to mention is that this year, we had finally -- we are now operating, as of January, on the same ERP. So previously, we were in a situation with LAN on running SAP and TAM running a different platform. And today, both LAN and TAM are both on SAP. So that was one of the things that had been pending and that is, today, already in place. And I'd say outside of that, there's maybe a couple more implementations that we need to do in terms of the information technology side, but for the most part, the integration today is complete.
Operator: Your next question comes from the line of Tom Kim, Goldman Sachs.
Thomas Kim: I was wondering if there's been any change in the corporate travel trends that you've been observing before.
Gisela Escobar: In corporate demand in Brazil?
Thomas Kim: Yes, Brazil, and then also x Brazil.
Cláudia Sender: Well, let me start from Brazil. We haven't seen any change, unfortunately. We would have loved to see demand picking up, but demand picks -- remains at a drop around 15% versus same quarter last year. So we don't see great changes but still at the correct level.
Thomas Kim: Okay. And then how about within -- x Brazil, around the region?
Nicolas Goldstein: Yes, in the international business, we don't see any huge change in the demand on the corporate people, still coming -- without any unusual change.
Thomas Kim: Okay. So to -- just to be sure that my understanding is right, the -- it's -- the traffic growth that we're seeing is still largely being dominated by leisure. Is that fair to characterize, the recent growth?
Cláudia Sender: For Brazil, yes, as the growth is arising from the leisure traffic.
Thomas Kim: Okay, that's helpful. And then I guess, speaking on Brazil and the push into increasingly regional travel, at what point -- or even with the Brasilia initiative, how does stage lengths get affected by this? Would we actually potentially see shorter stage length and, therefore, sort of the uptick in overall unit pricing?
Cláudia Sender: I would say that the initiative -- considering that we have over 800 flights a day in Brazil, this is very marginal. So you won't see a big change in our stage lengths or in our route structure.
Thomas Kim: Okay. Then just my last question was with regard to your fuel hedging. Can you give us the level at which you have hedged for this year, what the price was?
Unknown Executive: It's sort of per different [indiscernible] quarters and rest of year if you have that. It's just that -- are the money for Q1. As we said, we expect that, I mean, conversation for this year. It's in region -- about $215 million. That's to the bad side. We saw also the benefit, but it's very different there from month to month, but overall, it's $200 million loss for the year. But that would -- again, we have -- that's -- half of this, it's roughly in the Q1. So it's a very different -- happy to give you more color by e-mail, but it's very different than quarter-to-quarter.
Thomas Kim: Okay. What I was referring to more specifically, it's helpful to have the dollar figure, but I was just wondering more from a dollar per gallon or even dollar per barrel, however -- whatever you think is the best -- the easiest for us to be thinking about that.
Unknown Executive: Look at Q1 as an example, including hedge, you would have something like $83 a barrel, including the hedge, and going down as the other quarters kick in.
Cláudia Sender: [indiscernible] $83 a barrel [indiscernible]
Operator: Your next question comes from the line of Savi Syth, Raymond James.
Savanthi Syth: For the cargo side of the business, I was kind of curious as to how yields are trending so far in 1Q and how demand has been. And then on the fuel impact, is there a lag? Or what we saw in 1Q is kind of an immediate pass-through the lower fuel?
Gisela Escobar: Yes. Well, in terms of yields, we're seeing yields negatively impacted. So yields continue to trend downwards. In cargo, we see demand that continues to be weak with -- following the trends that we saw basically in the last few quarters, and we don't really see a change in that trend for the better so far. And in terms of fuel, the cargo business follows the same logic as the passenger business. So in Brazil, there is a longer period of time or there is a bigger lag, let's say, between when the market prices go down and when that gets priced in for the airline consumption. In the U.S., it's shorter. In Chile, it's somewhere in between. So it depends a lot by market. It follows the same logic than the passenger business, so probably around the [indiscernible] overall.
Savanthi Syth: That's very helpful. Okay, got it. And then just on the leasing that's been done with the 3 aircraft, is that -- is -- the revenue from that, is that flowing through the cargo revenue? Or is that flowing through other?
Gisela Escobar: No, it's in other revenues, so not in cargo nor in passenger. And it basically isn't really -- it's not additional revenue either. It's basically a revenue that offsets the fleet cost that we had associated to those planes. So basically we're seeing if we're able to get rid of these planes, so to speak, so that someone else is paying the fleet cost associated to that.
Savanthi Syth: Okay, got it. And then one last question, just going back to the -- kind of the domestic Brazil market. As Cláudia mentioned, corporate demand is really weak, and it seems like -- and the flat capacity outlook, maybe it's a little optimistic and given the market and given how much of the real has declined, especially, it seems like it's offsetting some of the fuel declines in domestic Brazil. So curious -- I mean, at what point could we see adjustment to the capacity plans? Or you think that the current capacity is sufficient -- or capacity level is sufficient to offset those headwinds?
Cláudia Sender: Let me try to answer your question in 2 parts. First, we have to be flexible. At this point, the volatility is so high. They're trying to make plans for the next 9 months. It's primarily a very big challenge. So we're trying to maintain flexibility while lowering our cost and controlling very closely all of the variables that we control, such as our punctuality, our level of service and our cost. So this is the first thing. It's very hard to make any forecast different than what we have today. We decided to fix our strategy and follow the market very closely and take action when required. The second thing, which I really believe in, is that our strategy of covering Brazil through our main hub is very cost-efficient and will give you [indiscernible] to support the strengths that the LATAM network needs and that the Brazilian passenger needs. We are tapping into new markets that we didn't have access to before. We'll have strength in our partnership with Passaredo, which is a small regional player here in Brazil. And by doing that, we are increasing the number of locations that we serve, and we're serving them in a much more cost-efficient way. So I strongly believe that we will find new markets, and we will find the ways of improving our routes through addressing corporate markets where we weren't present before.
Operator: Your next question comes from the line of Stephen Trent, Citigroup.
Kevin Kaznica: This is Kevin Kaznica stepping in for Steve. Just most of our questions have been answered, but just kind of falling back on some of the stuff that you mentioned during the presentation and prepared comments, I guess, coming back to the Brazil's regional airport plan kind of dovetailing into that and your plans to use A319 to service that, how many regional airports, I guess, if you know, as a percent can service A319s without any additional infrastructure build-out?
Cláudia Sender: There is a very big number of airports that we can still serve. The regional airport plan is still being developed. So it's hard to know exactly what are the locations that will receive the investment for the new regional airports, but I would -- I -- we haven't -- we are still looking into what is the long-term model for serving the regional locations. So for now, we will serve them with our current fleet, but -- and we can still expand quite significantly the number of airports that we serve today with the current fleet.
Kevin Kaznica: Got you, got you. And, like, would you know offhand how many, I guess, potential airports? Or what percentage can, like, handle an A319?
Cláudia Sender: I would say more than 20. So we're talking about 4 to 5 new airports or new cities covered per year. So we shouldn't have any problems in the short term.
Kevin Kaznica: Okay. And then, I guess -- I think you already mentioned this, but it seems that American Airlines, at least, seems to be pulling back some of its LatAm capacity. What kind of Latin American capacity trends are you seeing from, like, Delta, United and others? Is that kind of what you're alluding to when you said that, like, the majority of U.S. carriers are pulling back capacity from Latin America and that's kind of a tailwind for you guys?
Nicolas Goldstein: Yes. On the international market, going to -- from South America to North America, we are observing a reduction on the offer from -- especially from American Airlines and other carriers reducing the capacity that they have, but we are also observing that from Europe to South America. So it reflects that the industry is going to start reducing and managing [ph] a little bit the offer because it's not we are going to impact the yields.
Kevin Kaznica: Okay, okay. And then finally, just coming back to the fuel hedging, how do you guys traditionally hedge fuel?
Unknown Executive: How we traditionally hedge fuel, you're saying?
Kevin Kaznica: Yes, yes, like what the strategy is.
Unknown Executive: Typically, we have [indiscernible] with the fuel pass-through something along the lines of about 30% that we pass on to consumers. As for rest, we enter into financial hedges typically covering nearly 50% to 60% of the upcoming quarter with the combination of colors [ph] and swaps and 3-ways and 4-ways. As of late, we're seeing that we're also trying to protect, on the downside, given the sudden losses [ph] that we have seen for the jet fuel but -- and in general, it's a declining scale from 50 then decreasing as time goes on.
Operator: Your next question comes from Joe Moura, Bank of America.
Joe Moura: A few questions. First one, open-skies agreement in Brazil. I would like to know if you guys could provide some more color on the -- for yields once the agreement becomes fully operational in October. We know that the international route yields are already under pressure, but I wonder if we could see an acceleration on that once the agreement becomes operational. And second thing, on cash generation and your leverage levels, we know that you have some relevant CapEx commitments for this year. I wonder if you could provide some color on what should we see for leverage ratios throughout 2015, and that's it.
Nicolas Goldstein: I'm going to take the first question about open sky. What we observed is that before open skies, some American companies start adding capacity, and this is the same capacity that they are withdrawing now. So looking forward, due to the market conditions, we don't observe huge changes in the offer that we are going to observe with the open sky.
Unknown Executive: Yes. In terms of leverage, we see, if we ended up by the year 2014 with a margin of roughly 4.1%, as you heard, we have provided guidance for 2015 to be between 6% and 8% of the operating margin. So as we also heard, the margin expansion is coming from the cost reduction basically. And then as soon as the -- I mean, the different quarters kick in, you'd see a rapid deleverage in the company at the current levels, again driven by margin expansions. On the fleet side, the total commitment is something like $1.8 billion, but only half of that is going through that. The rest is the adjusted rentals, open leases. So we see, number one, the levels of that being sustained and even decreased during the year; and number two, we see a good liquidity and also a short-term debt constrained at the minimum levels.
Joe Moura: Okay, that was great. If I could just follow up on regional aviation. We know that Passaredo has close to 2% of the Brazilian domestic market, and it's a very small player. So regarding your strategy, should we see just, let's say, a marginal increase in routes right now? And perhaps after all the investment or after all that more than BRL 7 billion that the government is planning to invest in regional aviation is deployed, then we should see a significant increase in, perhaps, some fleet restructuring, perhaps, that you could add regional jets. My question is actually right now, this is very small. That should be even smaller than the 2% that Passaredo has. And then just after those investments that we should see, regional aviation really becomes relevant, more relevant thing for TAM in Brazil. Is that so? Is that the way we should see it?
Cláudia Sender: If I -- could you repeat your question? I didn't get the last part, if you don't mind.
Joe Moura: Not a problem. I wonder if you could elaborate more on your partnership with Passaredo in order to -- it's a small player. They only have 2% market share. And I wonder if right now -- so regional aviation should be very small for the time. And then just after the investments on the all the airports are deployed, then we should see, let's say, the strategy becoming more relevant, then we should see, perhaps, fleet restructuring. You could order regional jets, and this could become a more relevant thing for TAM in terms of hubs, in terms of capacity.
Cláudia Sender: All right. So first, talking about the strategy, we absolutely believe that the market will keep growing in the smaller cities faster than the big cities. So it is something that is embedded in our strategy. It's also important for the overall LATAM Airlines Group strategy to make sure we have relevant -- we have good coverage of all of the relevant flows. So yes, in the future, as the airports get developed and grow and the traffic becomes more relevant, we will probably get into more and more cities, and we might have to review our fleet plan. It's not set in stone right now, but we might have to do it in the near future. Talking about our partnership with Passaredo, it is a small player but they do get through important corporate traffic cities, such as Sinop, for example, or Rondonópolis, cities that have a very relevant corporate traffic but you cannot land with a big plane. So they act as an important figure into our hubs, and this is a partnership that we see going forward.
Gisela Escobar: To add one thing, I think just to put in context, the whole regional aviation in Brazil is less than 10% of the total ASKs of the Brazilian market. And today, TAM has a relatively small position in those routes still, but it's important to keep in context that by definition, regional aviation is the smaller route, and it's really not more than approximately 10% of the total capacity of the market.
Operator: Your next question comes from the line of Samuel Alves, BTG Pactual.
Samuel Alves: I have 2 questions. The first, I was wondering if you could give us more detail on this roughly $100 million of provisional reversal that would generate positive on-time [indiscernible] effect in Q4. Can you tell us how much in performance -- these bonuses, LATAM in -- during 2013 versus 2014. I mean, was it this year, in the previous years? And the second question, on the other operating expenses line, the release attributes the decline to the prescription and other reversals of tax contingencies. Can you please tell us how big was this effect?
Gisela Escobar: Yes. The -- in the other operating expenses, the effect was approximately $70 million, the sort of prescription and reversals of the tax contingencies. And regarding your first question, I didn't get which provision you were referring to.
Samuel Alves: I was referring to the provision that generated positive effect in the first line of the operating expenses line that is described in the press release.
Gisela Escobar: Okay, wages and benefits?
Samuel Alves: Yes, exactly.
Gisela Escobar: Yes. So that was -- basically, we have performance bonuses for all of the employees in the company, and that's a cost that's provisioned on a monthly basis for the year, assuming that 100% of the goals are met. And basically, as a result of -- the result for -- the financial results for 2014, which didn't meet 100% of the goal that we had, we had bonuses that were lower than what we had provisioned, and that generated this reversal of $100 million.
Operator: Your next question comes from the line of Renato Salomone, I-T-A-U (sic) [Itaú].
Renato Salomone: I'd like to ask about the significant drop in commissions to agents. Could you please elaborate how much of this 47% contraction came from FX devaluation and how much came from other initiatives? And regarding these other initiatives, could you please describe some of them? And how much are there to stay? Or if some of these were one-off negotiations that you had adjustments at the end of the year that we shouldn't see a level -- such a low level going forward. That's my question.
Gisela Escobar: Yes, well, in terms of commissions, we had a series of different effects. First, in part -- so even though as a percentage of -- since revenues were down, commissions are a percentage of revenues. A part of a decline in commissions is related directly to decline in revenue. In addition to that, in -- for all of the domestic operations, there is a positive effect from the devaluation of local currency, which also has a positive effect. And then another part of it is point-of-sale mix. So we have different commission -- different commission levels in different countries. And specifically, regarding the Argentine market, where we had a reduction in our sales, that resulted in a decline in the total percentage of commissions because -- as a result of lower sales than what we had estimated in the Argentine market as a result of the devaluation last year. And then finally, there was one -- another part of it that represents approximately $14 million in the fourth quarter, which was a recovery of taxes in Brazil. So there's -- basically, when you account for a certain cost, you account for them with taxes, and then there is recovery of certain taxes that occur at the end of the year or at different months throughout the year. And those are accounted for in the line where they -- where the costs are. So part of that, during this quarter, affected commissions to agents in the range of $14 million.
Renato Salomone: But on top of this, is there any major negotiation going on with agents that lowered this line or no?
Gisela Escobar: No, absolutely not.
Operator: Your next question comes from Duane Pfennigwerth, Evercore ISI.
Duane Pfennigwerth: Sorry for stretching out an already long call. Just a couple of quick ones on your loyalty plan. Has there been any change in your ownership percentage from that 73% level?
Gisela Escobar: No, no change.
Duane Pfennigwerth: Okay. And then how much of Multiplus cash is consolidated on your balance sheet in your USD 1.5 billion? So how much of that $1.5 billion is actually Multiplus cash?
Gisela Escobar: We consolidate 100% of Multiplus. So...
Unknown Executive: Which was $450 million roughly as of the end of December last year.
Duane Pfennigwerth: USD 450 million?
Gisela Escobar: Yes.
Unknown Executive: Roughly, yes.
Operator: I would now like to turn the call over to Ms. Escobar for closing remarks.
Gisela Escobar: Well, thank you, all, very much for participating in the call today. If you have any follow-up questions, feel free, as always, to reach out to us directly. And if not, we'll see you on the next call. Bye. Have a nice day.
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Have a good day.